Operator: Good afternoon. My name is John and I'll be your conference operator today. At this time, I would like to welcome everyone to the Lattice Semiconductor's Fourth Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. David Pasquale, of Global IR Partners, you may begin your conference.
David Pasquale: Thank you, operator and welcome, everyone to Lattice Semiconductor's fourth quarter 2014 results conference call. Joining us today from the company are Mr. Darin Billerbeck, Lattice Semiconductor's President and CEO and Mr. Joe Bedewi, Lattice Semiconductor's Chief Financial Officer. Both executives will be available for Q&A after the prepared comments. If you have not yet received the copy of today's results release please email Global IR Partners using lscc@globalirpartners.com or you can get a copy of the release off of the Investor Relations section of Lattice Semiconductor's website. Before we begin our formal discussion, I'll review the Safe Harbour statement. Is our intention that this call comply with the requirement of SEC Regulation FD. This call includes and constitutes the company's official guidance for the first quarter of fiscal 2015. If at any time after this call, we communicate any material changes to this guidance, we intend that such updates will be done using a public forum such as the press release or publicly announced conference call. The matters that we discuss today other than historical information include forward looking statements relating to our future financial performance and other performance expectations. Investors are cautioned that forward-looking statements are neither promises nor guarantees. They involve risks and uncertainties that may cause actual results to differ materially from those projected in the forward-looking statements. Some of those risks and uncertainties are detailed in our filings with the Securities and Exchange Commission, including our fiscal year 2013 Form 10-K and our quarterly reports on Form 10-Q. The company disclaims any obligation to publicly update or revise any forward-looking statements to reflect events or circumstances that occur after this call. In addition to the extent that we discuss today, the company's proposed acquisition of Silicon Image, we know that this communication does not constitute an offer to buy or solicitation of an offer to sell any securities. No tender or offer for the share of Silicon Image Inc has commenced at this time. In connection with the proposed transaction Lattice Semiconductor may file tender offer documents with U.S. Securities and Exchange Commission and any definitive tender offer documents will be mailed to shareholders of Silicon Image. Investors and security holders of Silicon Image are urged to read the tender offer that too in filed with the SEC carefully in their entirety when they become available because they will contain important information about the proposed transaction. Investors and security holders will be able to obtain free copies of these documents if and when available and other documents filed with the SEC by mailing Lattice Semiconductor @ ATTN Secretary Lattice Semiconductor 555, NE Moore Court, Hillsboro, Oregon. Zip - 97124-6421 or through the website maintained by the SEC at http://www.sec.gov. At this time, I would like to now turn the call over to Mr. Darin Billerbeck. Please go ahead, sir.
Darin Billerbeck: Thank you, David and thanks to everyone for joining on our call today. Since we spoke to you last week on our transformative acquisition of Silicon Image, we are going to keep our comments brief, this will allot more time for your questions. Our results for the full year underscore the strength of our business. Revenue was up over 10% and our EPS was over 110% including the effects of non-recurring tax benefit in Q4. For Q4 revenue and margin were in line with our guidance with OpEx $1 million above our outlook, Joe will give you more detail on this in a few minutes. As you're all aware, 2014 was a tail of strength in communication, growth in industrial and softness in consumer. We were able to grow despite the broader market challenges which further compounded by significant declines at our top customer. This would not have been the case, a few years ago. We've worked hard to diversify and increase the breadth of our customer base. Success on that strategy continues to pay off. We also kept our eye on the ball from an operation standpoint. We moved solid being to higher growth consumer market and clearly planned to go even bigger in 2015 and beyond. We understand this is a choppy market, but there is potential for growth, out ways that bumpiness. The high volume consumer market can create benefits to all of our product line, when it comes to managing our supply line and driving our cost that is why we were able to deliver nice improvement, our gross margin in 2014. We continue to demonstrate that we understand how to identify and deliver efficiency, that insight has served as well as we position Lattice for continued success in the consumer market. We expect our operations expertise and execution track record to be strong assets as we move forward with the anticipated closure and the integration of the Silicon Image acquisition. We made great headway in our business in 2014, with the introduction of the latest proliferations to our key product family. Our ability to deliver first Silicon samples saves us the substantial amount of money and gives us critical time to market advantages. We expect to fully leverage this efficiency and R&D expertise across our operations as we gain scale, making the payback even greater. An example of a time to market offering is a new bridging solution, we've recently launch to create a flexible, cost effective camera based product for a wide variety of consumer and medical application. We are also excited about our continue expansion of our mobile solutions portfolio. One of our latest launches was a low power programmable solution for voice detection and recognition. This always on, always listening solution targets smartphones and other handhelds. As you can see, we've been very busy. We understand the opportunity in front of Lattice and are running fast to make it happen. In terms of other colour on our product, market and geography breakout. We've provided a detailed table as part of our Q4 press release, that concludes my initial comments. I will now turn the call over to Joe, for details on the financials. Joe?
Joe Bedewi: Thanks, Darin. For the fiscal year 2014 revenue was $366.1 million, an increase of 10.1% from $332.5 million in the first year 2014. 2014 gross margin was 56.3% compared to 53.6% in 2013. Net income for 2014 was $48.6 million or $0.41 per basic share and $0.40 per diluted share compared to a net income of $22.3 million or $0.19 per basic and diluted share reported in fiscal year 2013. For the fourth quarter revenue was $83.6 million, a decrease of 3.4% from the third, in line with our outlook for Q4 revenue to be flat to down 4% compared to Q3. This is a decrease of 6.6% from $89.5 million in the fourth quarter of 2013. Gross margin for Q4 was 55.3% compared to 58.7% in the third quarter and 54.3% in the fourth quarter of 2013. Gross margin was in line with our expectations of approximately 57% plus or minus 2%. The gross margin decline from the third quarter was driven primarily by expected ASP and mix degradation. The significant year-over-year improvement in margins was driven by meaningful product cost improvements that were driven by high volume production during 2014. Operating expenses for the fourth quarter were $41.5 million. This was approximately $1 million above our guidance as higher salary and engineering were partially offset by a decline in mass cost. Net income for the fourth quarter was $15.4 million or $0.13 per basic and diluted share as compared to net income of $9.4 million $0.08 per basic and diluted share in the third quarter and net income of $6.5 million or $0.06 per basic and diluted share in the fourth quarter of 2013. Net income in the fourth quarter was positively impacted by a non-recurring tax benefit of $11.5 million or $0.10 per basic and diluted share resulting in a net tax benefit of $10.6 million in the fourth quarter and $5.6 million for the full year 2014. For the quarter diluted share count was approximately 119.5 million shares. Operating cash flow was $803,000 for Q4 and $40.1 million for the full year 2014. We ended the quarter with cash and cash investments. Cash and investments of approximately $255 million, a decrease of $2.3 million from the prior quarter and an increase of $33.8 million over 2013 year-end. Accounts receivables increased to $62.4 million at the end of Q4 as compared to $49.8 million at the end of last quarter. Day sales outstanding increased to 67 days compared to 52 days last quarter. The Q4 increase in AR and DSO was primarily driven due to receivables from distributors. Inventory at quarter end was $64.9 million compared to $65.1 million at the end of Q3. Month of inventory now stands at 5.2 months compared to 5.6 months at the end of Q3. We spent approximately $3.4 million on capital expenditures and incurred $5.4 million in depreciation and amortization expense during the quarter compared to $2 million and $5.2 million respectively in Q3. We repurchase approximately 1.7 million shares under our share repurchase program in Q4 at a total cost of $11.4 million. We have approximately $6.9 million left under our previously authorized $20 million repurchase program, under which we may continue to repurchase shares through February 2015. Finally, during the quarter we closed the sale of company's Hillsboro, Oregon headquarters. This is part of our ongoing efforts to lower our long-term cost while increasing the efficiency and effectiveness of our headquarters. We received proceeds of approximately $14.6 million and realized a gain of $1.6 million because we leased back a portion of the facility for R&D purposes the gain was deferred and will be recognized rateably over the 8-year life of the lease. This concludes the financial review portion of the call. I'll turn it back over to Darin for first quarter business outlook.
Darin Billerbeck: Thank you, Joe. As we look forward into Q1. We continue to run at full speed. We're focused on our existing business and closing our transformational acquisition of Silicon Image by the end of March. We have huge opportunity in front of us, we are fully committed to a timely integration upon closure and working aggressively to achieve the revenue and cost synergies we discussed last week. In terms of our specific expectations for first quarter 2015 for Lattice only, we expect revenues to be flat plus or minus 2% compared to Q4. Q1 gross margins are expected to be approximately 55% plus or minus two points. Total operating expenses are expected to be approximately 1% higher compared to Q4 excluding acquisition and or restructuring related cost. In summary, we remained confident of business prospects and continued ability to execute. We have great opportunity in front of us to create a global leader in connectivity solution. This is an exciting time for all of us at Lattice and we appreciate your continued support. That concludes our prepared remarks. Operator, we'd now be happy to take any questions.
Operator: [Operator Instructions] and our first question comes from the line of Tristan Gerra of Baird. Your line is open.
Tristan Gerra: Hi, good afternoon. Your Q1 revenue guidance is a bit more muted, than it's been in the past few years. What is your view about the strategy of firm consolidation at your top customer and could that perhaps led to market share shift notably at the higher end of the cell phone market for Lattice?
Darin Billerbeck: Yes, you're talking specifically about the two big guys there?
Tristan Gerra: Correct, Samsung specifically.
Darin Billerbeck: So I think that, when we look at it. It depends on how the market perceives, let's call the Note and the Edge. Might if those are considered direct competitors to let's say the iPhone or the iPhone Plus, right the 6 or the 6 Plus because you know from what I can tell, the higher end market seems to be okay. I think the challenges are more in some of the lower end markets, lower end of the Smartphone market where they're getting a little bit of competition from China and some of the other areas that are kind of dropping and so it almost like a little bit of squeeze effect. So the main stream lower end of the Smartphone market. If you look at Xiaomi and some of the other guys shipping a lot of units, that's one attack zone and I think in the high end, you can see from some of the releases that the big customers that they ship a lot of really high end Smartphone. So I think, it really is going to come down the number of units that they want to ship throughout the Smartphone end of the spectrum being the higher end of it and the new product offerings that they have coming out, it is Q1 for us. When we look at it, we see consumer kind of flattish in Q1 minus some possible upsides from China, Inc , which we would expect that to happen and then again, comps we were going to expect to be somewhat flat based on everything that we've heard and then industrial and everything we'll have some modest growth and that's why we kind of looked at Q1 and said, probably a little bit lower than we would have expected, but then most of our growth for the new opportunities are coming in the second half of the year and so you know we've been talking about that. With the models and with you guys for the last probably six months.
Tristan Gerra: Okay and as a follow-up as you mentioned, the second half. How should we look at your various end market in terms of year-over-year revenue outlook for this year? It sounds like consumer might be a little bit flattish as you have design wins new customers of sitting potential continued headwind from Samsung and what about your initial views on communication notably, your larger china based customer and then what is your initial outlook from an industrial and you know other end markets for this year versus last year?
Darin Billerbeck: Let's take 2014 versus 2015 if we could right because that will help you valid in. In 2014 consumer was down actually between 2014 and 2013 and then communications was fairly strong and industrial was strong. So if we're looking for, when we look at 2015 as I think the first half for us. We knew the first couple of quarters were going to be tough until consumer were kind of bounced back, but we have consumer up for the year and that would be combination of we expect our biggest customer to be down. We expect China, Inc to be up and we expect some of the new initiatives in the consumer, which aren't included in last year to be up. So we expect consumer to move upward. Comps based on everything that I can see and all the read ups, that I've seen we are going to expect it to be flattish. Right, so we're going to look at comps in totality for the year as flat. I still believe that industrial will have some modest growth probably for the market because industrial was pretty strong growth for us last year. I don't know that they're going change that goal again this year, if it is, its upside. So for us, we're kind of looking it that way. Consumer up slightly, comps flat industrial probably and that's how we look at our growth.
Tristan Gerra: Great. Thank you.
Operator: Our next question comes from the line of Christopher Rolland of FBR Capital Markets. Your line is open.
Christopher Rolland: Thanks for the question. Can you talk a little bit more about design traction at China, Inc ? How do you see it ramping this year and how well represented do you guys think you are and perhaps the $300 million handset that are going to be built in China, this year?
Darin Billerbeck: The last year, we didn't have a lot, right? But we've been working on the lot and if you look at China, Inc in general, we're in almost all of them. And the question then becomes, the number of units you ship in the ASP, right? And obviously the ASP in the mainstream China phones is lower than the ASP at some of the premium high end Smartphone. So for us, we took out a goal of like $3 million to $5 million in Q4 and when we kind of came in right around $2 million to $3 million, but our expectations for next year. We materially grow that each quarter as we kind of walked through. We feel comfortable at their design traction, specifically with the people that we think are going to win long-term. There may be some movements that you see within the winners and losers over the next year, but I think the real winners is the big guy that are out there today and I think they're going to continue to win. I think some of the smaller guys are probably going to fade away over time.
Christopher Rolland: Okay, great and then I guess one on the transaction, if I may. When you guys are looking at that business kind of looking at some of the parts there? How do you sort of describe different values to the different parts? So how do you view the licensing in terms of the $450 million [indiscernible] for that business. How much do you think the licensing business was worth, the chip business and then HDMI chip business and then MHL and Y-gig businesses. How do you sort of break that into some smaller parts of, so that we understand that the lens that which you're looking at the acquisition through?
Darin Billerbeck: Yes, so without getting into too specific, I'll give you kind of where we're at. So I think HDMI is a mainstream for Silicon Image. I think it has been, it will be for a long time. If you look at my personal house, I probably have just to my TV, five HDMI cables, right? Just by itself. So I think the HDMI and that stuff is going to be the way to go. Especially if you want smooth video transmission, then you get into MHL and you have people say, oh! Is it going to click or is it not going to click. I can tell you this, if you want smooth video once again you're going to use a wired connection, but it will also be, you're going to have that living and co-existing peacefully I think with the wireless connection. Right? The difference is in those two one, is continue to speed. The other one is compression. So as we kind of walk through that wireless and MHL. I don't think it's going to be as bad as a lot of people, think because a lot of people like Oh! MHL is not really going to gain a lot of traction. It is and it's in a heck of a lot of units worldwide and it's supported by MHL or HDMI as far as how you can transmit because you'll see a lot of MHL, HDMI connection. So I think that business for us is very attractive. If it also helps us understand video transmission very similar to data for comps. So we doing comps, we can do with hardware acceleration of video, so that was attractive there. The 60-gig stuff, if you didn't hear. Intel just announced it, they're releasing one of their latest processor with 60 gigahertz to be able to connect the laptop, so that's real. They may have overestimated kind of the timing of that, but I think we're looking at that as more of 2016 kind of deal, there will be some shipments probably in the end of 2015, but I think reasonable material, revenue is going to come into second half of 2016 for that, but they have awesome capabilities with the 60. They can do side-by-side stuff which is the Snap technology, they can do via HD which is going to be low latency 60-gig application. They can also do Y-gig, which is kind of the industry standard, if you want to do internet. Right, so I think overall all of those are attractive to us. We don't know a whole lot about the [indiscernible] thing, we're not experts obviously in the software services world, but if we dig in the details on that, we can make a decision.
Christopher Rolland: Great, thanks guys.
Operator: [Operator Instructions] our next question comes from the line of Richard Shannon. Your line is open.
Richard Shannon: Darin and Joe, how you guys are doing?
Darin Billerbeck: Hi, Richard.
Joe Bedewi: Hi, Richard.
Richard Shannon: Couple of questions from me, maybe I'll ask one couple financial questions here. First in gross margin, Joe I believe you mentioned gross margins coming down sequentially into the fourth quarter due to mix and ASP degradation. I wonder, if you can elaborate on that. Specifically wondering about ASP degradation whether that was specific to any segment or customers and whether that will continue beyond fourth quarter?
Joe Bedewi: You see some ASP degradation in the consumer space as you go into China, Inc and there is always margin pressure and ASP pressure on the consumer side. We have new products that are coming out now that mitigate some of that, as we move forward in the New Year and it's been an ongoing cycle for us, right. So the 55 number that we talked long-term is still the number. We have been able to optimize and will continue to optimize above that, by getting savings and clearly pushing the price pressure as much as we can, so we don't reduce ASP, but I think 55 is our long-term number that's where we're modelling to, that's where we'll see it go.
Richard Shannon: Even after, you're hoping to see China ramp this year, you think you can still maintain that [indiscernible]?
Joe Bedewi: Yes, we do.
Richard Shannon: Okay, maybe question on OpEx, let's see your guidance for the first quarter cost rate increasing 1% or about I assume that's on GAAP basis, that would mean about on a range of $4 million, you guys have done a good job at keeping that under wrap for the last several quarter that seems like a large increase there. Is there anything one time nature in that or is that kind of?
Joe Bedewi: No, it's actually about $600,000, $700,000. It's not $4 million.
Richard Shannon: Sorry, bad math in my part. Okay, forget that question.
Joe Bedewi: That is really, that is, it's ongoing expenses related to mass charges. So they're variable when they hit, we got them baked into the annualized number set, but they hit in certain quarter. So we got products coming out, there is mass charges associated with that and it's multiple charges. Yes, it is multiple assets in Q1.
Richard Shannon: Got it. Okay and let's see a question for Darin in the consumer/Smartphone space here. You talked about your expectations. I wonder previous responses for the quarter in what you hid it there and you characterize this having exposure to pretty much everybody that matters in China. Hard to judge on the ASP's with trying to figure out, what kind of catch rate you have and what [indiscernible] go, what's your overall view currently?
Darin Billerbeck: Yes, so let's talk about how China works, how some of the larger OEM's work in. In a large OEM's you're working to create solutions that are probably a little bit more innovative and forward looking, you know what they're trying to get into new markets and try to try out new features. In China, it's more about a fixed function that is solution not something that's kind of design related development. So less effort from our perspective, but then we're taking products that we can take features off because we have menu driven approach where we have multiple products that they can use. Ultimately, the device that we announced today, which is UltraLite is designed for that market, it's very low cost, it can create one or two different features for those people that want to have cost first and features second and that gives us stability to handle lower ASP's and still have the model margin that Joe was talking about earlier. So that's why when we say, even if you ship a ton of units there, you're going have to ship a lot of units to make that up. Q4, we had reasonable traction, which I like didn't hit my goal but it was actually material. Q1 through Q4 we've got plenty of design wins that we're looking at and those things should be hitting each quarter and it should continue to grow and our goal was really to try a ship a meaningful enough revenue based out of China, Inc to really cover for our largest OEM's declines in both units and ASP's.
Richard Shannon: Okay, fair enough. I'll jump in the line, guys. Thank you.
Darin Billerbeck: Yes, thanks. Richard.
Operator: [Operator Instructions] and our next question comes from the line of Bill Dezellem of Tieton Capital. Your line is open.
Bill Dezellem: Thank you. You had a pretty solid jump in the mature products and I was hoping, you could address, what issues may have driven that or this is just an aberration?
Darin Billerbeck: Every year we have a certain portion of it. It happens different quarters hit, different types of [indiscernible]. They're mature product shipments that are shipped into products and different customers that will pull those in some cases because if you remember, we do process variations and process migrations through time and then sometime, you can't pick up every single match set for those particular process migration, so you'll have these from time-to-time. Its' been fairly consistent for the last 3 years to 4 years. We had about that same number through the year, it happens and just in different quarters and this was part of the plan, as we marched through. As it we would see some uptick in that, so it wasn't a surprise in any meaningful way.
Bill Dezellem: And would that be the same as final purchase because you're discontinuing the product or might not thinking about that right?
Joe Bedewi: We have last time buyers and we'll hold inventory on last time buyers for a period of time. At times, we build over and above that. If it's over and above that last time buy and we find an opportunity, we will sell it and we have been able to do that over time. So it's not, as if it were specific last time buy, where we gave a special prize or anything like that. It was a deal that we were able to cut on product, that were to sit on our shelves for who knows how long, until our last time buy volume was gone.
Bill Dezellem: Understood, thank you.
Operator: [Operator Instructions] our next question comes from the line of Ruben Roy of Piper Jaffray. Your line is open.
Darin Billerbeck: Hi, Ruben.
Ruben Roy: Hi, Darin. I just wanted to follow-up on the commentary around your perspective on the segments and year-over-year growth specifically around industrial. If you're thinking industrial probably be up a little bit again this year. I mean, that's quite impressive if you look back over the last 3 years or so and if you can give us an idea of what's been driving that, the products and what type of visibility really you have going out over the next couple of quarters in terms of design wins and same with the ramps for those design wins because again, that's quite a high bar that you guys have set for yourself in that segment.
Darin Billerbeck: Yes and let's think about that, year-over-year industrial group up 14% and some of that remember in 2012 and 2013 industrial was horrible for us, right? We had a really difficult time with industrial and it was about that time in 2011, we introduced XO2 and we also introduce XO3 and now we have XO3 kind of XO3-L which is a flash based version of that and so I think all of those product lines were pivotal enough getting more design within their along with having some of the base business bounce back, right? So we have an older 4K product for instance and different product lines in there, so when we got that and Joe talked about that for two years, where we were struggling for a couple of years with some of the margins and other things we jumped into consumers because industrial was horrible for us and this year bounced back pretty significantly and we look at our design funnel for industrial and you look at these different customers, they're working off for the last 2 years to 3 years, some of those things are starting to take hold. So we don't expect it to grow another 14% next year or maybe nice if it did, but we don't expect that. So we're kind of saying probably modest growth, probably at the market, that industrial grows that. Probably anywhere between 3% and 7% as what we typically mow along there and that's really what we've been focusing, that's kind of XO2, XO3. We have a new version of XO3 that's flash based right now and then we also have some of our older products like our 4K. So that's what making up all look growth.
Ruben Roy: Great, thanks for that Darin and quickly for Joe. Might have missed this, but around gross margin with consumer coming back throughout the year kind of missed 50, is the right way to think about gross margins for the year?
Joe Bedewi: Absolutely, we are still holding to our 55 model and talk briefly about it, before this. We'll see ASP pressures, we go into China, Inc but new products being introduced today have a better cost profile that we believe their 55 is the number, we're not coming off it.
Ruben Roy: Great, that's all I had, thanks guys.
Joe Bedewi: Great. Thanks.
Operator: [Operator Instructions] your next question comes from the line of Hank Bannister of Faxon Research. Your line is open.
Hank Bannister: Sorry if this question might be redundant. I missed the very beginning of the call, but I was wondering if you could number one, just sort of commentary on the consumer in China and the gross margin as you ramp that business. Is that from a mix point of view, is that equivalent to the kind of gross margin and ASP would get from Samsung or is it even below that, your largest customer. In other words, as that ramps it, well you get the question, but I have a second question on the China infrastructure telecom side.
Darin Billerbeck: So on the China, Inc side which I was just saying, we definitely have margin pressure there, we would have the continued similar margin pressure with Samsung and any of the big guys as we ramp. So our new product introduction enable us to hold to the margin profile, we're talking to 55 and we've been able to execute on that for the past couple of years and we feel that we're in place to do that again, going forward.
Hank Bannister: So kind of, you know Samsung being so large obviously they get great pricing and China being so aggressive multiple little guys end of sort of net-net. It's kind of similar the ramp is expensive, but once you get up the curve it starts to level out at the margin that you would expect, is that a fairway of looking at it?
Joe Bedewi: Well, it depends on the product. So once we're ramping the new products and which we're going to be doing into China, Inc. Our margin profile will be okay, so if I have to ramp an older product in some cases to get in early or is the timing of it, there is margin pressure on those older products, as the newer products come out, that have been designed for that market, we see the ability to back to the margin numbers, we're looking at.
Hank Bannister: Okay, thank you and then on the telecom side, the infrastructure side. You might have spoken, I apologize, if its redundant, but you know the China mobile, the China telecom started to come on, could you give us a little bit of colour there or contours there, in the short if I'm?
Joe Bedewi: For this year or last year, what were you looking for on that?
Hank Bannister: You know for Q4 and going forward.
Joe Bedewi: Yes, so let's think about the LTE build out happened last year and I don't think it's going to happen the same way, this year. Last year, everybody came in fast and through, so the first couple quarter, then we were going to our customers, saying you guys. It seems like this is a lot, hot and heavy. No, no we [indiscernible] material and then in Q3 boom, they basically reset. So left a lot of people with inventory and Q3 was pretty low, Q4 started to migrate out of that. Q1 looks fairly consistent with Q4 to-date, but there seems to be a little bit more strength in the ordering pattern as they're starting to hand out all the licenses that we see, but we're still believing the comps will be relatively flat because it was up quite a bit year-on-year. Last year it was up about 21% and so we're kind of saying, we don't think that's kind of grow again 21%. So we think comps will roughly be flat to next year, at least the assessment we have and Q1 for right now, it looks like that's the appropriate number, who know what it is later on and if they have the same behaviour that they have last year, but right now Q1 actually looks consistent with the flattish growth.
Hank Bannister: And as you hear from [indiscernible] and Xilinx and those kinds of guys that China mobile still completed obscure nobody has any idea, what they're going to do, but the other guys are starting to come on, is that what you're experiencing?
Darin Billerbeck: Well, we heard that the licenses for the other guys besides you know the big guy, right? Was happening in Q4, we actually heard it was going to happen early Q4, it looks like it shifted to Q1 because we would have expected comps already have started, which maybe what they're alluding to, but we kind of look at it product-by-product, customer-by-customer and what we're hearing and feeling is that, in Q4 they were kind of like, this is what we need, in Q1 they're like how much inventory do you have? And can you guys start really thinking about positioning that inventory and then some of already just loading up. So I think the behaviour between Q4 and Q1 is completely different, but I agree with their assessment there is one guy that's been kind of in the dark.
Hank Bannister: Thank you.
Operator: [Operator Instructions] and our next question comes from the line of Richard Shannon. Your line is open.
Richard Shannon: Guys, just a quick follow-up from me, actually a two-partner. Darin, I want to confirm the end market segment numbers mentioned in the response earlier question on yearly basis. I think you just repeated comps were expecting flat, I think industrial a little bit of growth and did you say, consumer should be roughly flattish as well?
Darin Billerbeck: No, we expect consumer to be up, it will be tough in the first half, but we expect the second half actually to come on. So it has multiple products that we would look at, not only smartphones but some of the other consumer market. So besides trying to broaden from our largest OEM to the multiple China, Inc because we see the market in consumer being Smartphone's, right? Being in the Smartphone industry you've got the two big guys and we felt good about penetrating one of the big guys and getting a fairly large share, they're super comfortable with that, but again ASP's are going down, but then you got the next tier of that, which is all of China, Inc which is quite a bit bigger than those other two, unit shipments and so we look at that combined gets us roughly kind of flat, where the big OEM was last year and then add all the other initiatives that we have on top, that's how we get growth. So our consumer growth won't just come from Smartphone, it will come from multiple things within the consumer electronics industry.
Richard Shannon: Okay, then I would assume USB 3.1 that you made some announcements in the last few months one of the bigger drivers to the upside in second half then?
Darin Billerbeck: Absolutely that becomes adopted by different OEM's there is multiple applications because you get, chargers, you've appliances, you got all sorts of stuff that's got USB 3.1.
Richard Shannon: How was your design win traction going there? Maybe it's little bit earlier to know very well, but [indiscernible] partnership Cyprus as an example, how is the design win traction going and what's your expectation on timing?
Darin Billerbeck: Yes, there is multiple things, you just mentioned one. We do have a pretty interesting deal on USB 3.0 which isn't 3.1 with Cyprus and that's the highest performance version of the traditional USB socket that has, you can only put it in one direction that's really more of a laptop and more of large consumer appliance. USB 3.1 type C is the smaller more like a micro USB connector. We expect that to grow actually both will grow, but I think the USB 3.1, they grow up faster.
Richard Shannon: Okay, fair enough, that's all from me guys. Thank you.
Darin Billerbeck: Thanks.
Operator: [Operator Instructions] and our next question comes from the lien of Hank Bannister of Faxon Research. Your line is open.
Hank Bannister: How much of an opportunity did you have over the next two, four, six, eight quarters in wearables? I was blown away wandering around CES, not that it won't completely transform once Apple comes out with the iWatch, but I was blown away by how many applications are, it seems like you have a real opportunity there, but could you talk about a little bit?
Darin Billerbeck: Yes, we're in one of the largest ones already, are largest OEM's ship today and we're in that and we are in multiple things from Google Glass to all these other things, that you find your way into because let's remember that market is all about a simplistic Bluetooth radio connection, some manipulation of a sensor data and then streaming it someplace else, right which FPGA's do quite well and since we have such low [audio gap] but some of that is in some of the consumer stuff that we're focused on, but yes FPGA's can do that and our UltraLite device that we just announced is like very well targeted at that and it comes in the smallest form factor imagine above like 1.48 by 1.48 square millimetres. A very, very tiny device very low-powered if you ready very [audio gap] things at wearable's.
Operator: At this time, we have no additional audio questions. I turn the call back to Lattice's CEO, Mr. Darin Billerbeck for any closing comments.
Darin Billerbeck: Okay, first of all we appreciate everyone again joining us. We had a couple of weeks of different dialog over a lot of things, but out of the call we expect you guys to really look at us, we were solidly focused on our execution. We're solidly focused on the opportunities for Lattice and all the market segments. They're all important, a lot of people get a lot of hype about consumer as a growth, but last year we grew in all the other segments except consumer. This year, we expect that the other markets will more grow with the market rating, consumer will actually start to bounce back, which will help quite a bit. Additionally, we are focused on closing the Silicon Image acquisition and also moving into the integrating phase. So we expect to do that shortly. In the meantime, we've got a huge of funnel of opportunities and we got to close them all to make 2015 happen. So we appreciate your support as always and we thank you for calling out. Alright, bye.